Operator: Good morning. My name is Brandy and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Frank’s International’s Q4 Fiscal Year 2013 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. At which time instructions will be given. I would now like to turn the call over to Mr. Thomas Dunavant to begin.
Thomas Dunavant: Good morning, everyone. And welcome to Frank’s International’s conference call to discuss fourth quarter and full year 2013 earnings. I am Thomas Dunavant, Manager of Investor Relations. Joining me on today’s call are Keith Mosing, Chairman, President and Chief Executive Officer, John Walker, Executive Vice President of Operations, John Sinders, Executive Vice President of Administration and Mark Margavio, our Chief Financial Officer. Keith will begin today’s call with general highlights and John Sinders will provide an overview of our strategy and outlook. John Walker will provide an overview of operations and Mark will follow with a more detailed financial discussion of the quarter. Keith will then wrap up with some closing comments. Before we begin commenting our fourth quarter full year results, there are few legal items that we would like to cover. First, remarks and answers to questions by the company’s representatives on today’s call may refer to or contain certain forward-looking segments. Such remarks or answers are subject to risk and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements and such statements speak only as of today’s date or a different as of the date specified. The company assumes no responsibility to update any forward-looking statements as of any future date. The company has included in its SEC filings cautionary language identifying important factors that could cause actual results to be materially different from those set forth in any forward-looking statements. A more complete discussion of these risks is included in the company’s SEC filings. Also you may access both fourth quarter and full year 2013 press release and a replay of this call on our website at www.franksinternational.com. Please note that any non-GAAP financial measures discussed during this call are defined and reconciled to the most directly comparable GAAP financial measure in the fourth quarter and full year 2013 earnings release which was issued by the company yesterday and is available on our website. I will now turn the call over to Keith for his comments.
Keith Mosing: Thanks Thomas. We are very pleased by our results of 2013. We were excited about our outlook for 2014. In 2013 we grew about 4% over our record year of 2012, very pleased with that results. Gulf of Mexico has grown the fastest of 22%, this growths driven are continuing to increase in offshore drilling around the world. We believe that the company is well positioned to continue to grow with increased offshore activity in the Gulf of Mexico and international. We’re continuing to position ourselves in all the new frontiers and drilling in complex and deeper wells that we provide our services to. We’re continuing to invest equipment and our focused on technology. This quarter alone we received four new patent grants and we applied for another seven in the last quarter. We expect international and Gulf of Mexico to grow by at least 10% and grades was just tied to the new drilling wells associated with continued exploration and development activities and not just rig rates. Lastly, we’re proud to say that we promoted John Walker and John Sinders to Executive Vice Presidents of Operations and Administration respectively and they report to me. And, I’ll now turn this over to John Sinders.
John Sinders: At Frank’s, we applied ourselves in our premium tools and services. We believe our innovative tools and our premium service and customer focus differentiates us from our competitors and uniquely positions us with leading exploration production companies to help them globally access their reserves. Because of our high margins relating to our premium services, the company generates cash flow way in excess of its capital rates. As we think about deploying this cash, we’re first focused on acquisition, but then we focus also on returning capital to shareholders. As we look at opportunities to grow the company where the industry is heading. We’re focused on more than just tubulars. We believe in an addition to opportunities to expand our casing operations through acquisitions, there are also opportunities to complement our new technologies and equipment as well as to look at the next round of technology that will be utilized in growing tubulars. Mark will review our fourth quarter and full year results in a minute but I want to provide you with an outlook for 2014. Despite the market’s uncertainty about E&P CapEx spending in deepwater drilling rig utilization, we believe there are number of opportunities for us in 2014. Remember our customers are the Exploration & Production companies not the drilling contractors. And it is their spending in exploration and development that drives our growth. We see deep and ultra-deep exploration and development growing fastest in the Gulf of Mexico, Sub-Saharan Africa and Asia Pacific. We have a strong presence in those areas and have had recent success when we move business in Asia Pacific. Overall, we believe our international services in Gulf of Mexico businesses should grow by at least 10% in 2014. Our land business was impacted in 2013 by increased competition which is largely revenue declines. We’ve increased our sales effort in certain basins and moved the resources both equipment improves to where we see the best opportunities. We began to have success with these efforts but we anticipate revenue for this business will be slightly down for 2014. Our goal is to maintain our EBITDA margins and provide safety drives for us and production clients as supposed to hitting any market share targets. Lastly, our Tubular Sales business is a least predictable and therefore the most difficult for forecast as inner quarter sales and timing of customers projects and positively or negatively effective for our revenue in the quarter. At this time we expect Tubular Sales revenue to be up at least 4% in 2014 and this includes recognition of approximately 29 in deferred revenue associated with one customer’s order. We’re also pursuing several exciting orders and are very excited about the outlook for Tubular Sales. Our adjusted EBITDA margins are impacted by business mix and type of work with any segment. For 2014 now we anticipate being able to maintain our current margins at or above 40% with our offshore business segments generating the highest margin. We will expect to continue to generate operating cash flow in excess of our CapEx and current dividend. Our capital expenditure budget for 2014 is approximately $250 million and this includes $140 million in revenue equipment and the remainders for new facilities and buildings. The majority of our building budget is for the development of a new facility in multi-ads and office. Those facilities should be able to sustain our growth over the next decade. Excess free cash flow will either be used to grow the company through acquisition and it will be returned to shareholders. I look forward to updating you on progress of our efforts and successes as it relates to our financials. And I will now turn our call over to John Walker for an update on our operational facility.
John Walker: Thank you, John. As Keith said, we are very pleased with our fourth quarter and full year 2013 results. Our results in the fourth quarter exceeded our own expectations due to higher than expected offshore work in the Gulf of Mexico and success to getting new customers in the Tubular Sales segment. I’m excited about the offshore opportunities for Frank’s in 2014. I recently traveled to several of our international locations and I have not heard any comments from our customers cutting back for offshore drilling campaigns. In fact, there appears to be a height in motivation from a number of operators to pursue an allay of new geological exploration and appraisal things. These things are all often more complex and sophisticated in nature. Complexities can vary from ranging from wells being drilled deeper below the mud line drilled in deeper water requiring heavier casing and land experience and exposure to exceller gas, higher pressure and higher temperature to name a few. Each program requires its own unique set of circumstances. All of these complexities uniquely positioned Frank’s to use our expertise to deliver end-weighted solutions. In regards to our U.S. onshore operations, well this market remains competitive and we expect land revenue to decline in 2014 locating a very active approach to managing this business. Turning down to our business segment results, our international services revenue for external sales increased slightly sequentially declined 4% year-over-year to $122 million. For the full year, international services revenue was $475 million up 2% over 2012. 2013 revenue was positively impacted by our offshore drilling both in Africa and successfully worked with customers in the Far East. These increases were partially offset by year-over-year declines in Latin America due to the decreased business with customers in Norwegian and Europe specifically Israel where customer reduced operations in the region due to changes in the regulation. Adjusted EBITDA margin for the international services in the fourth quarter was 38% for external sales and for the year was 42%. EBITDA margin in the fourth quarter was impacted by increases in supplies ordered ahead of job opportunities in 2014. We do not anticipate these expenses going forward. Moving to the U.S. Services, revenue for external sales increased 5% sequentially and 6% year-over-year to $114 million. With our U.S. Services segment, our Gulf of Mexico business grew 19% in the fourth quarter of 2013 versus the fourth quarter of 2012. For the year, it grew 22%. The land of our U.S. Services segment which remains very competitive as we previously discussed declined 10% in the fourth quarter versus the same time period in 2012 and declined 17% for the year. Adjusted EBITDA margin for the U.S. Services in the fourth quarter was 43% for external sales. For the full year, U.S. Services revenue was $435 million up 3% over 2012 and the adjusted EBITDA margin was 46%. Lastly, Tubular Sales revenue for external sales in the fourth quarter was $46 million, an increase of 15% for the third quarter and 15% year-over-year. For the full year, Tubular Sales revenue was $167 million up 12% over 2012. Adjusted EBITDA margin for Tubular Sales in the fourth quarter was 32% of external sales, adjusted EBITDA margin was 24%. In the fourth quarter, our adjusted EBITDA margin benefited from the recognition of previously deferred revenue on fabrication work for the customer in the Gulf of Mexico. And finally, I would like to command our employees and specifically our HSC team for their efforts with our safety program. In 2013, our Total Recordable Incident Rate or TRIR was 1.13 and our Loss Time Incident Rate or LTIR was 0.33. Both were down year-over-year and below industry averages. Safety has been and all this be our number one core value. And with that, let me turn over to Mark for a review of our financial results for the quarter.
Mark Margavio: Thank you, John. Here is a brief overview of the quarter’s results. Total revenues for the quarter were $282 million which reflects a 4% increase sequentially and a 3% increase year-over-year. For the full year, revenue was $1.78 million when continuing operations an increase of 4% over our record year in 2012. Net income for the quarter was $76 million, net income attributable to Frank’s International N.V. was $55 million or $0.36 per share. Diluted net income which includes the assumed tax impact of conversion, our preferred shares was $74 million or $0.36 per diluted share. Tax expense for the fourth quarter were lower than expected due to our full year international business mix below weighted to a lower rate jurisdictions. At this time we estimate our effective tax rate for 2014 to be between 20% to 25%. 2013 income from continuing operations was $308 million with $224 million of income from continuing operations attributable to common shareholders. Basic earnings per share from continuing operations for 2013 was $1.69 and diluted EPS from continuing operations was $1.68. A full reconciliation of our EPS calculations are in our press release. Our adjusted EBITDA for the quarter was $110 million or 39% of revenue. For the full year, adjusted EBITDA was $439 million or 41% of revenue. We ended the year with $405 million in cash and essentially no debt on our balance sheet. Our cash flow from operations for 2013 was $277 million down 20% year-over-year due to changes in working capital including increased inventories. Our free cash flow which we define as operating cash flow minus capital expenditures was $93 million. Lastly, our February 18th, the Board of Directors cleared a dividend at $0.75 per common share subject to applicable Dutch dividend withholding taxes for the record date of February the 28th the payment on March 21st 2014. We currently anticipate our diluted share count to be approximately $207.2 million in Q1, $208 million for the full year. I will now turn the call back over to Keith for some final comments before we open up the call for Q&A.
Keith Mosing: If you look at what we’ve added on to our facilities in [Quebec] then we’ve added an offshore facilities there at Houston, Texas with Phoenix, New Iberia and Lafayette, Louisiana. We are focused on technology with the engineering staff that we have with all degree we have. All these kind of things I think are very exciting, truthfully invested back in the industry and back in our country. We would consider to emphasize on technology, safety and taking care of customer with our [indiscernible] management. And I’m very proud of all the whole which being the customer satisfaction and I will look after the customer and that guys looks to me and says thank you very much, you’re very good at [indiscernible] with those particular job and we are really – we are happy with that kind of job. Frank’s seems to get all the high-tech build that we seem to be even bigger which is taking care of the very high exposure, high growth. We look forward to updating you on our progress throughout the year. Thank you for your continuing interest in Frank’s International. I’ll now turn it over to your questions.
Operator: Thank you. (Operator Instructions) Our first question is coming from the line of Jim Wicklund of Credit Suisse.
Jim Wicklund – Credit Suisse: Good morning, guys.
John Sinders: Good morning.
Jim Wicklund – Credit Suisse: Well done press release, you can tell you guys were working hard to being a public company and it shows good job on all that. John Walker, you say you’ve been traveling and everybody is just getting about how we’re going to drill, yet Seadrill, Transocean, Noble, Diamond have all come out in the last two weeks and say they see rig utilization coming down, they see demand – excuse me bids coming down, durations shortened. I’m just trying to figure out the disconnect between what the deepwater drilling companies are telling us and what you’re hearing from I guess the client?
John Walker: Sure. Good morning, Jim. So, well first of all when our channel – our focus on customers that E&P is an Exploration & Production companies as you are aware. So, our opportunities are not tied to rig rates, they’re actually tied to the exploration and development drills and as I went from region to region, I met all senior people, a lot of the senior people on the exploration and production companies. And they – their budgets are on track to deliver good growth this year across the platform that we’re certainly participating in. Remember, our focus is in the challenging with our architectures and that was a sales in Australia recently and we recently secured some new business in Australia, Asia Pacific and also up and down there Sub-Saharan, Africa. So, the important factor to focus on is not the rig rates but the spread costs of the rock...
Jim Wicklund – Credit Suisse: Well, John I understand the difference but I mean how got sea drill and our own math showing that we’re going to retire 50 to 60 floaters over the next four to five years, is that right?
John Walker: Well, four to five years and we are looking at the moment, one year, two years out. I mean what we’re seeing …
Jim Wicklund – Credit Suisse: Fair enough, fair enough.
John Walker: And what we’re seeing is a good steady growth.
Jim Wicklund – Credit Suisse: Okay. That’s fair enough. And if can I ask on the same note the guidance you have for EBITDA margins for 2014. Can you guys give us a little bit breakdown on the U.S. Gulf of Mexico versus onshore what the margin differentials are looking like?
John Sinders: Sure Jim. It’s John Sinders. How are you?
Jim Wicklund – Credit Suisse: Good, John.
John Sinders: What – we’re looking in the low to mid 40s for the Gulf of Mexico and a mid-30s onshore.
Jim Wicklund – Credit Suisse: Okay, okay. That’s helpful. Thank you, guys. Appreciate it.
John Sinders: Thank you.
Operator: Your next question comes from the line of Blake Hancock of Howard Weil.
John Sinders: Good morning Blake.
Blake Hancock – Howard Weil: Good morning guys. Following up on that last question, you see the deepwater contract terms possibly shortened here and knowing that you’re tied to the operators and not necessarily to the rigs. Do the shorter term contracts create a greater competition or some sort of cost frictions with regard to a reassigning people and equipment. Are there any other dislocations that are created there?
Keith Mosing: We have a good mix of the – there are certain areas of the globe that are in the exploration phase. And then other areas going through the appraisal and going into development. And we have a good mix of business in all of those arenas. As far price pressure on exploration, there is no difference from off services perspective because it goes back to the split cost again of the execution of the project. In fact, it could be considered in the exploration phase when people are starting up that they have a lot of start-up cost so their spread costs are actually higher than when you go into development phase where the efficiencies are derived. Blake?
Blake Hancock – Howard Weil: For the Tubular Sales, did you guys recognize the cost and recent news so the revenue was just a peer drop down this quarter. I’m just trying to figure out how that works going forward with the $20 million you guys called out.
Mark Margavio: This is Mark Margavio. Blake, what happens is the expenses for fabrication of any of the marginal items with Tubular Sales, those are already recognized but the actual cost for the hype itself in the pocket goes into it that is in this quarter as well.
Blake Hancock – Howard Weil: Okay. That’s great. I’ll turn it over. Thank you, guys.
Mark Margavio: Thank you.
Operator: Your next question comes from the line of Robin Shoemaker of Citi.
Robin Shoemaker – Citi: Thank you. Good morning. I wanted to ask about the issue that was discussed in the last call about the delivery of deepwater rigs and the amount of time it takes to sea trials acceptance testing and so forth. So, that when you actually get on the rig and starts drilling and generate revenues, it’s – this creates critical time for you but are you seeing any changes in that issue in your guidance most importantly for 2014, what have you anticipated in regard to these start-up issues for ultra-deepwater rigs?
John Walker: Well, as far as the deepwater rigs in the shipyard we did the front end market intelligence and we’d engaging the client at that point and the SIT and the integration testing we are actually at the shipyard where we would then mobilize our equipment to the shipyard and integrate into the rigs. The rigs would then obviously be deployed its first location of relocation. We are seeing a little bit of that slowness and the rigs actually coming out on schedule, various factors and not necessarily related to shipyard delays that is related to the manufacturer components coming in on schedule. But, as far as our sales we have not been placed in that area we got capacity to deliver and we’re well positioned for that.
Robin Shoemaker – Citi: Yes. And so, in other words, is that slowness that you’re referring to is a factor that you incorporated in your guidance for revenue growth this year?
John Walker: That’s correct Robin.
Robin Shoemaker – Citi: Yes, okay. So, my other question then as to do with the – the international market you sided Europe and Latin America is having a kind of a full year decreased activity. Could you just comment on Petrobras which I think may be is – well clearly has slowed down. And then in the North Sea, do you expect those two regions to be like performing less than your 10% growth that you see across the international regions?
John Walker: I think the short answer is yes.
Robin Shoemaker – Citi: Okay. So, the areas that you see growth would be everywhere outside those two areas and the total picture looks like at least 10% growth?
John Walker: Yes, your assumption would be correct there Robin, yes absolutely. Now that we’ll continue the opportunities in both of those other regions as the market drivers change as we’ve get it for previously as the international operating companies get more of a leadership role in the Brazil market that creates an opportunity for us. And also in the European sector of the market as we see the jack-ups coming into the Norwegian sector drilling more challenging wells deeper wells harsher environment, again with good portfolio of technologies in that area. I’d like to take this point to talk about our patented technology because we actually have in 2013 in a total of 245 patents globally. And in 2013 we actually secure 18 new patents and we filed 40 new patents. And there is an additional 50 engineering services of our projects that is ongoing. So, we’re excited about that as Keith mentioned we are continuing to invest within the platform and the infrastructure and we just grow – we’ll continue to grow.
Robin Shoemaker – Citi: Okay. Thanks very much.
John Walker: Thank you.
Operator: Your next question comes from the line of [indiscernible] of Tudor Pickering Holt.
Unidentified Analyst: Good morning guys. Just wanted to ask a little more about your outlook with regard to Asia Pac you mentioned one of the success being one of the strongest growth regions for deepwater. And I think you mentioned offshore is being one of the countries where you recently won some market share and some new contracts but for the Asia Pac region more broadly just curious if you could speak through how Frank’s is positioned for that growth but I assume to think that Asia Pac is being more jack-up oriented versus deepwater. So, just little more color on Asia Pac outlook.
John Walker: Sure. Just going around the regional as far as Asia Pac some deepwater placement in Asia that we’re well positioned for and have secured some business and Malaysia we continue to fund deepwater activities in Malaysia, we talked about Australia we just completed our deepwater well there and China. So, the Sub-Saharan Africa area is where the larger volume of deepwater and deep wells I should say deep wells placed there are current but we have a – we are very matured in Asia Pac, we’ve been over there 25 years so we have a good infrastructure, we got good knowledge of the market and with the good intelligence. So, we just want to make sure that we focused our efforts where we create a most value and where the spread costs are highest with volume as per the client is efficiency drivers.
Unidentified Analyst: Okay. And then just second question from me and thinking about the 2014 CapEx that’s allocated to rental flows, should we think about that as being towards that you’re reserved for contracts nothing up here international with the Gulf of Mexico or West Africa or is that some of that capital positioning for growth beyond 2014?
John Walker: I think that the substantial amount of capital for next two, three years a majority of it this year will be for the international side of the business the larger CapEx investments in the U.S. will be for facilities. But in general this equipment has a life of as much as 10 years so this is definitely for the future and what’s happening out there in the deepwater arena.
Unidentified Analyst: Okay. Thanks guys. Appreciate it.
John Walker: Thank you.
Operator: Your next question comes from the line of Ian Macpherson of Simmons.
Ian Macpherson – Simmons: Thanks. John Walker, you mentioned that your international margins in the fourth quarter was burdened by some prevailing of some cost and I just wanted to grow bigger that if you were to adjust for that, would you have to see it margin for international in Q4 that was you’re better for 40% and is that for the outlook for 2014 international that would be similar to your Gulf of Mexico margins in 2014?
John Walker: Good morning, Ian. So, yes as you summarized there, the reduction in EBITDA margin for Q4 was specifically related to supply and expenses for yearend restocking. On a go forward basis, for 2014 we’re seeing from that mid-40s to the low 40s and as we guided before that the platform infrastructure took a significant growth in 2011 and 2012 at 42%. And then we talked about building headcount infrastructure. As Keith had talked about earlier, we got facility in the Middle East that is going to be our stable our [indiscernible] facility and we’re currently embracing new headcount a mixture of – we’re very proud to the legacy people we got at Frank’s they are very tenured to an excess of 25 years of experience and we are mixing that experience with some publicly traded management experience and of course we’ll have to train those people and integrate them into the Frank’s way of business which we believe to be best in class.
Ian Macpherson – Simmons: That’s helpful. Thanks. Follow up question, your onshore business right now I mean it’s lagging what’s happening with the general momentum in North America where most various companies are seeing pretty good upturn with [pressure below]. And I wonder if you can share with us how you’re repositioning and adjusting the business and whether there is sort of a trajectory that’s lost in your full year outlook that might point towards improving conditions later in the year or in the front of the year or you just don’t have that stability at this point?
John Sinders: Hi, it’s John Sinders. We try to be very conservative on our outlook onshore. What we’re seeing onshore irrespective of the increasing activity is it’s not just highly competitive but it’s the margins that competitors are looking at are very low. And we’re just not going to – we have a great deal of margin discipline and so we’re focusing on the parts of the onshore market where our traditional clients are which you have to be larger clients, majors large independents. Also, we focused very highly on safety and it’s almost impossible to provide the service at some of the pricing we see if you’re going to be using the newest equipment and you price in for the quality and Q&A and safety procedures that we have. So, we’re marketing them with one of our – we’re talking to our clients, we’re explaining to them why we think this spending the extra dollars makes sense but for some clients it’s not persuasive, for some it is.
Ian Macpherson – Simmons: Okay. So, at this point in time the competitive dynamics will throughout be improving overall activity level?
John Sinders: Yes, I think they do, I mean I think it’s going to get – it’s going to tighten I think we’ll have – we won’t have – it won’t be – we won’t decline anywhere near what we did last year, we think the decline will be more mid-single digits, but we don’t see it changing in the first part of the year.
Ian Macpherson – Simmons: Okay. That’s great. Thanks both Johns.
John Sinders: Thank you.
John Walker: Thanks.
Operator: Your next question comes from the line of Angie Sedita of UBS.
Angie Sedita – UBS: Good morning guys.
John Walker: Good morning, Angie.
John Sinders: Good morning, Angie.
Angie Sedita – UBS: As a follow-up to one of the questions earlier on the offshore rig count. Can you give us a little bit of an idea or do you know the exposure you have offshore to the mid-water market which is where we have the greater risk early for idling capacity versus deepwater and ultra-deepwater?
John Sinders: Andy, this is John Sinders. I think it’s a good question and it explains the seemingly disconnect between what you see in the rig count, what you see in our results. We have virtually no exposure to the mid-water market. And so the areas where we see exposure is that going to go from Mexico’s deep and Sub Saharan Africa’s deep, other parts of the world that tends to be deep or at least as with deep wells. And so although you can look at rig count in deepwater say Gulf of Mexico was a good proxy for our growth in the Gulf of Mexico. Generally you can’t look at the rig count overall around the globe is a good proxy for our growth.
Angie Sedita – UBS: Okay, okay, okay. That’s very helpful. And then obviously we’re not going to see any deepwater, ultra-deepwater rig stat. So therefore you don’t have that risk in the downturn as you do in the mid-water market?
John Sinders: Correct.
Angie Sedita – UBS: On the tubular sales guidance as far as growth of 4%, it was a bit lower than we expected certainly in 2011 and 2012 you had pretty impressive growth rates. Can you talk about your guidance in a little bit more detail, is it tied to the rig count or is it more special projects and also if you could talk about where your opportunities are in the market geographically new customers or by product line?
John Sinders: I’ll – it’s John Sinders again. I’ll take the first part and then turn it over to John Walker for the second. What we’re trying to do and we’ve said we would shoot for when we’ve spoken to all of you all is from a guidance perspective we’re looking at things that our people are pretty comfortable in securing. So we’re actually looking at places where they’re having talks that we think are going to result into sales or what we have we think we have backlog. So I think it’s conservative. This is a very lumpy area however and if we look at places where they’re having discussions with other people they’re pretty large projects, pretty large sales, that could be possible, but we think it’s better in this area to hit what we think is a minimum and lumpy, all the guys coming and talk to you quarter-by-quarter. John…
John Walker: Sure. So, good morning Angie. So, as Keith has talked about opening up the new facility in Alvin, Texas our ability to increase capacity and we’re not maximum capacity at this time, our ability to increase capacity. So it has allowed I think as a company to get the services side of the business, the management of the services side of the business to focus our efforts for additional sales in tubular sales segment. When we raised that a year ago we saw a significant uptake there from an international basis. And the management team being – is clearly defined to them that this is a growth area for us and our capacity to deliver is obviously important. And the platform and with the management team is going to allow us to continue to deliver. So the 4%, at least 4% is conservative and but lessons learned we’re going to be conservative in nature and we look forward to see good things in this area.
Angie Sedita – UBS: Okay, thanks. I mean how much of visibility do you have the visibility actually in Q1 and I think you still have some catch-up on the deferred revenues. So could you give us at least a little bit of color and insight to give at this point at least on Q1 and Q2 margins for tubular sales?
John Walker: Sure. On the visibility I can certainly answer that portion of it. We do have decent visibility because delivery points it actually takes up to 60 days to deliver it to the final point of it at least. So the client has to be ordering this pipe and coating for this pipe for the six months in advance. And the type of tubulars that we’ve been very successful in are the related again back to the deepwater as the well architectures of 36 inches a diameter, 22 inches a diameter that’s an area that is been a good market for us. And as far as..
John Sinders: I think with margins what we’re looking at is somewhere around the 20% number.
Angie Sedita – UBS: For both Q1 and Q2?
John Walker: Yes. And that could vary Andy because it depends on whether we wholesale pipe and sell it on or whether we’re billing just for welding and what not. So it..
John Sinders: It’s a mix.
John Walker: It’s a mix that’s why it’s hard to and why you will see variation in our margins.
Angie Sedita – UBS: Okay, okay, great. Thanks. I’ll turn it over.
John Walker: Thank you.
Operator: Your next question comes from the line of Sean Meakim of Barclays:
Sean Meakim – Barclays: Hi, good morning gentlemen.
John Walker: Good morning, Sean.
John Sinders: Hi, Sean.
Sean Meakim – Barclays: Just wanted to drill down a little bit more on the international margins. I understood the point regarding some restocking at year end and some of the start-up costs of course have the offshore rig delivery. Should we be thinking about seasonality in that business and we have limited data kind of going back but I think like there could be some seasonality throughout the year, can you give us a little more on that?
John Walker: Seasonality I mean is a good point. If you look at our projections for Q1, 2014 and you extrapolate that out, it certainly doesn’t come up to the total guidance that we’ve given you. So we do see some seasonality in the Northern Hemisphere, in the Norwegian market, in the East Russia and the Canadian market there’s been a little bit slowness there. As far as on a go-forward basis throughout the year we see that will eventually pickup or catch-up and pickup.
Sean Meakim – Barclays: Should we expect in 4Q to see kind of restocking hit to the operating margin on an annual basis, is that all kind of one-time in nature?
John Walker: No, that was a one-time event and that was related specifically to some year-end stock that was already in process. Delivery in some of these components Sean it’s from a third-party supplier for us to manufacture – we’re going to order this stuff sometimes three to six months of raw material in advance, it’s getting better but we – that is already in process. So we took delivery of it obviously the expenses occurred but it’s not a recurring expense.
Sean Meakim – Barclays: Okay. That’s very helpful. And then I think earlier you talked – touched a little bit on the deferred recognition of that large pipe order. I think you said in your prepared remarks $20 million is going to be recognized in 2014. Is that correct or is there going to be a push-out from the last time you spoke on the conference call?
John Walker: I mean it’s $20 million we’re certain of in 2014, we’re working on the other $20 million and it’s difficult to time, there is not a specific timeframe for that to be recognized, but we’re talking with our customer about changing the contract in some ways to make it recognized if they’re not going to use it.
Sean Meakim – Barclays: Okay. That helps. Maybe explain a little bit of the guidance versus where expectations were on that business?
John Walker: No.
Sean Meakim – Barclays: Okay, very helpful. Thanks a lot.
John Walker: Thanks, Sean.
John Sinders: Thank you, Sean.
Operator: (Operator Instructions) Your next question comes from the line of George Venturatos of Johnson Rice.
George Venturatos – Johnson Rice: Hey good morning guys.
John Walker: Good morning, George.
John Sinders: Good morning, George.
George Venturatos – Johnson Rice: Just wanted to touch a little more on the land U.S. onshore business. Obviously we’re seeing some continued competitor pressures and you did talk about some of the strategic moves you’re making there. Are those all in effect today or we still kind of waiting for some additional improvement potentially there. Just trying to get a sense of how we should expect that margin progression throughout the year that mid-30s target, should that be a little weaker near term?
John Walker: We don’t expect our margins to be weaker near term because it’s – that’s a target. And that’s something that we’re not going to vary at. We hope to see the efforts that we’ve undertaken to bear fruit. And but that’s difficult to predict I mean we certainly are aggressively marketing much more so and we’re certainly are talking about our safety program and comparing it with others and showing people that when they deal with Frank’s they get a level of quality that actually is – you guys have a complete different class but whether that’s going to take hold or not is difficult to say.
George Venturatos – Johnson Rice: Okay, appreciate that. And then apologies if I miss this on the tubular service side. So the $20 million of deferred revenue that we know is going to hit in 2014 or at least embedded within guidance, do we have a sense of what quarter that could be impacting?
John Walker: Mark would you have, is it – can you take this one?
Mark Margavio: Yes, it’s about anywhere between $20 and $28 million that we expect to deliver. But it’s pretty much dispersed out throughout the year and that’s the once we get some level of commitment from the clients on accepting delivery.
George Venturatos – Johnson Rice: Okay. Appreciate the answer guys.
Operator: Your next question comes from the Waqar Syed of Goldman Sachs.
Waqar Syed – Goldman Sachs: Thank you. Couple of questions here, number one as we compare national service revenues between 2012 and 2013 the revenues grew by roughly about 2% and based on some of the data from ODS-Petrodata, the floater working rig count of deepwater working rig count was up close to 7%, for you to deliver 10% revenue growth in 2014 in international services business, what are you assuming for rig count growth for the deepwater rig count growth in 2014?
Keith Mosing: I mean I think we’re assuming for the deepwater rig count growth is somewhere around the high single-digits in the markets in which we operate. And it varies because you’re seeing various data that shows differences between the average and the yearend rig count and this also not consistent between rig logic and Petrodata entirely.
Waqar Syed – Goldman Sachs: Okay. So you see the same level of rig count growth in 2014 in your markets as you saw in 2013?
Keith Mosing: For example in West Africa on the floaters and the rigs that we look at we actually see rig count growth on the average of 21% but then we see by on a yearend basis more around 9%. So, it depends on what the statistics are, from what we give you is to our numbers are based on actually talking to the exploration production companies.
Waqar Syed – Goldman Sachs: Sure.
Keith Mosing: So it doesn’t – it doesn’t even – overall with the rig counts set in the markets where we are.
John Walker: We are – John Walker here. I would like to add to that is that we did not have to offset in Latin America or some reduction in Israel our growth would have been substantially higher. So, based on the forecast that we’re seeing in the market place those areas are not going to have that same reduction and therefore as a consequence of that we’re going to have at least 10% growth.
Waqar Syed – Goldman Sachs: Sure. As you look forward into 2014 is there a way to estimate what proportion of your revenues comes from rigs that are out for renewal in 2014?
John Walker: I mean gosh, we – I mean yes we know what rigs we’re working on and what rigs we’re targeting to work on. We probably wouldn’t share that level of data with you because it’s highly proprietary.
Waqar Syed – Goldman Sachs: Sure.
John Walker: Our things are based on actual, our numbers for this year are based on actual conversations with the E&P companies many cases where we’ve already we’re actually by and large where we already secured the work. And so it really, again it really isn’t something that relates as directly to rig counts or any specific rig.
Waqar Syed – Goldman Sachs: Okay. Fair enough. Just another, you mentioned acquisition as one of the areas that you’re targeting it for to deploy capital, could you talk about what are the kind of the key financial features that you will be looking at in acquisition candidates in terms of EPS, accretion, dilution or margin accretion dilution as you look at the candidates?
John Walker: Anything of size has to have EPS accretion okay it has to have EPS accretion. Margin accretion is more difficult because there aren’t there many – there aren’t that many acquisitions you can make that have the margins as great as ours. But what we would look to see is we prefer things that have the same margin configuration or complexion that we have. But overall, what we really look at is, we look at earnings accretion, return on capital and for our larger acquisitions. For smaller acquisitions the, there it’s completely different because what we’re doing there by and large is buying something that we think will be accretive overtime or it’s the technology or something of that nature but it may not be immediately accretive.
Waqar Syed – Goldman Sachs: Sure. And for the larger acquisitions how do you define that what would be kind of dollar amount that you may subscribe to a larger acquisition?
John Walker: Probably anything over $50 million actually.
Waqar Syed – Goldman Sachs: Okay great.
John Sinders: And the ones we’re looking at currently are all margin accretive and earnings accretive. Thank you for your questions.
Waqar Syed – Goldman Sachs: Thank you very much.
Operator: Your final question comes from the line of Ian Macpherson of Simmons.
Ian Macpherson – Simmons: A fitting final question, Mark could you just update us with your full year outlook for G&A expense including the equity compensation component of that?
Mark Margavio: Sure, we’re expecting as you know for the – for our key brands we’re looking at approximately $20 million for the year non-cash expense for that is included in our SG&A numbers. Overall we’re budgeting for SG&A somewhere in the, I would say from the mid-50s to the low 60s for G&A.
Ian Macpherson – Simmons: Got it.
Mark Margavio: Depending on the work.
Ian Macpherson – Simmons: Perfect. Thanks.
Mark Margavio: Thank you.
Operator: There are no further questions. I would now like to turn the call back over to Mr. Keith Mosing for any closing comments.
Keith Mosing: We’re going thank everybody. And just go whether we would know that, so that experience for us doing business 75 years privately and then probably going in to public we have enjoyed it, it’s been lot of fun, got lot of people doing respectable the way. We’re very positive about the outcome of our future to have a record year last year then to beat that record year two years in a row. We’re ramping up with – investing in technology, investing in new equipment. And the other important thing is training and safety. With the new training facilities that we’re expanding into the Middle East, Europe and so we’ve got a great Board now we’ve got Gary Luquette, Shel Erikson, Mike Kearney on Board from outside Directors have been just very, very good for supporting and guidance. And we think we’re on the positive track and I think we’re on the right road for the future. So, well thank you everybody again.
Operator: Thank you. That concludes today’s conference call. You may now disconnect.